Operator: Greetings and welcome to the Nine Energy Service First Quarter 2019 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator instructions] And as a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Heather Schmidt, Vice President of Investor Relations. Thank you, you may begin.
Heather Schmidt: Thank you. Good morning, everyone and welcome to the Nine Energy Service earnings conference call to discuss our results for the first quarter of 2019. With me today are Ann Fox, President and CEO and Clinton Roeder, CFO. We appreciate your participation. Some of our comments today may include forward-looking statements reflecting Nine's views about future events. Forward-looking statements are subject to a number of risks and uncertainties, many of which are beyond our control. These risks and uncertainties can cause actual results to differ materially from our current expectations. We advise listeners to review our earnings release and the risk factors discussed in our filings with the SEC. We undertake no obligation to revise or update publicly any forward-looking statements for any reason. Our comments today also include non-GAAP financial measures. Additional details and a reconciliation to the most directly comparable GAAP financial measures are also included in our first quarter press release and can be found in the Investor Relations section of our website. I will now turn the call over to Ann Fox.
Ann Fox: Thank you, Heather. Good morning, everyone. Thank you for joining us today to discuss our first quarter results for 2019. The quarter was in line as what we anticipated with both revenue and adjusted EBITDA, falling at or above the midpoint of management's original guidance range. The company generated an adjusted EBITDA margin of approximately 17%, outperforming the majority of our peers in the space. Company revenue for the quarter was $229.7 million, net income was $17.3 million and adjusted EBITDA was $39.2 million. Basic earnings per share was $0.59. Adjusted net income for the quarter was $22.1 million or $0.76 per adjusted basic earnings per share, an increase of approximately 63% and 55% respectively versus the fourth quarter of 2018. Cash flow from operations was $5.9 million and ROIC for the first quarter was 13%. Even with pricing concession realizations during the quarter, we were able to generate strong adjusted EBITDA margins, and double-digit ROIC. With a business profile more levered to completion tools, we anticipate this trend continuing and remain confident about the cash generation of the business moving forward. Reiterating our annual cash flow from operations per share target of $4 to $5. The market began to stabilize during the first quarter in conjunction with an improved commodity price backdrop, activity remains steady across the majority of our service lines with our cementing division outperforming the market, increasing activity by approximately 10% quarter-over-quarter. We continue to gain market share in our cementing division, specifically in the Delaware and Midland Basins through the combination of highly technical slurry development and execution at the well site. Nine's market share in the Permian, defined as rigs followed was up significantly in Q1 over Q4. In March, our cementing division delivered their highest monthly revenue in the history of the company. Even more amazing is that we also had the highest on-time rate on record for the company during Q1 of over 95%. We introduced a new trademark cement blend called CTT Trident [ph], which we successfully deployed in the Delaware Basin. This new blend is a lightweight slurry but does not utilize HGS or glass beads, but maintain strong compressive strength to ensure casing integrity. This slurry is cost-effective for the operator, while increasing efficiencies and we believe today, we are the only ones offering a slurry of this kind. The defensibility and technical barriers to entry in cementing remain strong, which has helped maintain the concentrated competitive landscape. We continue to build the infrastructure and work with customers in the mid-con for our greenfield expansion and believe the track record we have and continue to build will enable us to successfully penetrate this market. We still anticipate being up and running in the mid-con at the end of 2019. Pricing across service lines has stabilized and we believe the worst is behind us, as the majority of Q4 2018 pricing concessions were implemented during Q1. Demand for our products and services remain strong in Q1, with growth in activity quarter-over-quarter following what was a very busy Q4 for Nine.  During Q1, we were able to grow market share of stages completed from approximately 18% in Q4 to approximately 20% in Q1. Wireline stages completed increased approximately 5% quarter-over-quarter and completion tools stages increased approximately 16%. Demand for our large diameter units remains consistent, utilization and days work have been affected mostly by pad timing and inefficiencies which decreases overall days worked. Utilization and pricing for our smaller diameter unit is down, overall, as demand for these units continues to decrease. We recorded our first full quarter of Magnum contribution and remain extremely positive on the dissolvable thesis and medium-term outlook. We are seeing strong appetites from our customers for an intervention list and more efficient isolation tool to complete their plug and perf wells. We have successfully run and commercialized a fully dissolvable and reliable, high temperature plug and continue to focus on refining our low temperature option to ensure complete and predictable dissolution for every type of well bore. We anticipate having this ready for commercialization in 2020. We are simultaneously working on new, shorter composite and dissolvable plug designs utilizing IP from both Magnum and Nine. Our breakthrough casing flotation tool is gaining market share across the US and Canada and we increased the number of breakthrough tools sold by approximately 80% quarter-over-quarter. The collaboration between R&D and the field have helped drive these developments and have compressed the R&D cycle, providing us a clear competitive advantage in the design and introduction of new tools. The integration of both Magnum and Frac Technology continues to progress very well. Both teams are as talented as we thought and are working well with the legacy Nine Group. We are pleased with our performance this quarter, our operational and financial results are some of the strongest among our peers and we remain focused on executing our strategy of offering customers leading-edge technology coupled with excellent service. With that, I would like to turn the call over to Clinton to walk through segment and other detailed financial information for the quarter.
Clinton Roeder: Thank you, Ann. In our Completion Solutions segment, first quarter revenue totaled $209.1 million, compared to 2018 fourth quarter revenue of $209 million. First quarter adjusted gross profit was $47.7 million compared to fourth quarter adjusted gross profit of $55.1 million. During the first quarter, we completed 1,139 cementing jobs, an increase of approximately 10% over the fourth quarter. The average blended revenue per job decreased by approximately 9%. This decrease was due to pricing concessions, as well as a lower ticket job mix during the quarter, which included an increase in the number of surface and lower revenue ticket jobs out of our North Texas facility. Cementing revenue for the quarter was $53.3 million, which was flat quarter-over-quarter. During the quarter, we did not receive any incremental cementing spreads due to delays with the manufacturer. We anticipate receiving the last [ph] unit from 2018 CapEx during Q2. We ended Q1 with 31 units.  During the first quarter, we completed 11,700 [ph] wireline stages, an increase of approximately 5% versus the fourth quarter. The average blended revenue per stage decreased by approximately 8%. Wireline pricing in the US decreased in the high-single to low double digits, but increased revenues from Canada during Q1, which includes higher stage pricing affected overall pricing movements. Wireline revenue for the quarter was $63.5 million, a decrease of approximately 4%. We received four incremental growth capital wireline units toward the back half of Q1, bringing our unit count to 59 at the end of the quarter. In completion tools, we completed 26,193 stages, an increase of approximately 16% versus the fourth quarter. Completion tool revenue was $53.9 million, an increase of approximately 18%. During the first quarter, our coiled tubing days were decreased by approximately 9%. The average blended day rate for Q1 decreased by approximately 5%. Coiled tubing utilization during the first quarter was 59%. Coiled tubing revenue was $38.6 million, a decrease of approximately 13%. We are not adding any incremental coiled tubing units this year and have parked one of our small diameter units. In our Production Solutions segment, first quarter revenue totaled $20.6 million compared to fourth quarter 2018 revenue of $20.5 million. Adjusted gross profit for the first quarter was $3.4 million compared to fourth quarter adjusted gross profit of $2.8 million. During the first quarter, well services had utilization of 62%, which was flat quarter-over-quarter. Total rig hours for the quarter was 46,088, which was also flat. Average revenue per rig hour during the quarter was $446, an increase of approximately 1%. During the quarter, approximately $14 million of net income was a result of the benefit of the revaluation of contingent liabilities of the earn-outs related to our two recent acquisitions of Magnum including dissolvable plug and ESAT tool cells [ph] and Frac Technology. The initial earn-outs were determined in conjunction with the closing of these transactions in October of 2018 and also updated on 12/31/18. Changes to these initial projections are in large part due to more muted market conditions and outlook for 2019 and do not affect any full-year guidance we have provided today, including cash flow from operations per share and free cash flow margin. The company reported selling, general and administrative expenses of $19.9 million compared to $21.2 million for the fourth quarter. This decrease was largely due to less transaction expenses and professional and legal costs. Depreciation and amortization expense in the first quarter was $18.2 million, compared to $18.2 million in the fourth quarter. During the first quarter of 2019, the company's effective tax rate was 2.6%. The effective tax rate for the quarter was primarily attributable to changes in pre-tax income and valuation allowance positions as well as tax liability in jurisdictions, where income is expected to exceed available net operating losses.  During the first quarter, the company reported net cash provided by operating activities of $5.9 million, which includes a payment of approximately $12.3 million for 2018 bonuses, as well as prepaid expense related to CapEx and a one-time inventory bill as we transition from a third party vendor and shift to composite plugs assembly in-house. All of these items were anticipated in part of our full year guidance around cash flow from operations per share and free cash flow margin. The average DSO for the quarter was approximately 62 days, which was flat quarter-over-quarter. Total capital expenditures were $23.5 million of which approximately 10% was maintenance CapEx. A large portion of the growth CapEx was ancillary items for coiled tubing, including high pressure pumps, tractors and a crane as well as items related to the greenfield expansion of our cementing division into the MidCon. The CapEx was part of our original full year CapEx guidance of $60 million to $70 million, which remains unchanged. During the first quarter, we paid down approximately $20 million of the outstanding ABL credit facility borrowings, resulting in $15 million in outstanding revolver borrowings. As of March 31, 2019, Nine's cash and cash equivalents were $31.2 million with $129.7 million of availability under the revolving ABL credit facility, resulting in a total liquidity position of $160.9 million as of March 31, 2019. I will now turn it back to Ann to discuss our Q2 outlook.
Ann Fox: Thank you, Clinton. As I mentioned, the overall US environment and sentiment has improved following the commodity price recovery during Q1. Activity and pricing have stabilized and our customers remain consistent on their activity levels, while maintaining an unwavering focus on staying within capital budgets and returning value to shareholders. At this time, our customers, the majority of which are larger public companies have not indicated incremental 2019 vendor activity. If WTI remains at or above $60, there is potential for smaller independents to increase activity throughout the year. This incremental activity would help tighten the market and provide a potential avenue of pricing traction for Nine. For Q2, we expect total revenue between $230 million and $240 million and consolidated adjusted EBITDA between $38 million and $42 million. This is consistent with our most recent outlook and at the midpoint of the range was our adjusted EBITDA margin at approximately 17%. A market-leading margin among peers. While our 2019 outlook is unchanged with what we know today, we remain well positioned to capitalize on and benefit from any potential activity increases in the second half of the year, assuming commodity prices remain supportive. We are able to flex and capture growth quickly with shifts in activity, which we have proven over the years. While we have seen incremental coiled tubing units come to market and the number of wireline units is significant. I want to make a large distinction between equipment capacity and capable and legitimate crews, not only does the labor market remain tight, with the unemployment rate falling to a half-century low of 3.6%, we continue to see large diversified operator shift capital spend into North America. The service selection of these and other large independents already in US shale is extremely selective. They are partnering with service providers based not only around service quality and track record, but HSE, DOT and quality control. We have a demonstrated history of legitimacy in these areas and believe, we can and have differentiated on service execution and technology performance regardless of equipment counts in the market. 2019 will continue to be a year focused on organic growth, digesting and integrating our acquisitions and evaluating our existing service lines and geographies to ensure they are accretive to margin, cash flow and ROIC, as well as core to our strategy. This includes well services and our Canadian business, both of which we will continue to evaluate. With the addition of Magnum, Frac Technology and operational and capital efficiencies, we continue to gain through multi-well pad and large scale developments, Nine is less capital and labor intensive and much more cash generative. Because of this, we still see a pathway in 2019 to increase free cash flow generation year-over-year, peer-beating adjusted EBITDA margins as well as a positive trajectory in our ROIC for the medium to long term. Today, we believe we have the right blend of service and technology with the best team focused on being good stewards of capital for our shareholders. We will now open up the call for Q&A.
Operator: [Operator instructions] Our first question comes from the line of Jud Bailey with Wells Fargo. Please proceed with your question.
Jud Bailey: Thank you, good morning.
Ann Fox: Good morning.
Jud Bailey: Ann, I was wondering, if I could ask you maybe give a little more color commentary if you could on your second quarter comments and help us just think about maybe each business line and how you see those kind of progressing to get to the guidance, I assume some are probably little bit stronger than others, but just would appreciate any thoughts on kind of how each business is performing to kind of get there?
Ann Fox: Sure. So as I said, Jud, I think the pricing concessions really are behind us in the market. So I do want to be clear that we don't expect that level of degradation, whatsoever in Q2. But when you do think about margin drag, remember that give or take, roughly 4% of that revenue is coming out of Canada, Q2 is historically spring break up and down quarter, for the Canadian market. So that is obviously factored into our numbers. So when we come down to the lower 48, again, you heard us talk about cementing being very strong. We would anticipate that continue to be strong. Completion tools, we're gaining a lot of traction there. We also expect that to be strong, wireline is going to hold steady from a pricing perspective. I think, we're going to need to see another quarter, of commodity prices stay where they are before we can start to regain that price. So you're not seeing us anticipate pricing increase in that service line, this coming quarter in Q2, but that doesn't mean that if -- these Iranian barrels really come off the market and certain things happen that you won't see that pricing traction in the back half.  And then, when you think about coiled tubing, again a lot of nice margin there and margin contribution, despite pricing concession. And we would also anticipate the same as it relates to pricing for that business. So again, if commodity prices stabilize for us and in fact, if we get a better look into what those prices may look like in Q3 and Q4, that will really dictate our ability to grab back price in both of those service lines. While service, again, we never increased price, the way we did across the completion space, so you didn't lose it the same way. So you should expect that business also to perform relatively similarly to how it is. And I'm happy to take further questions, if I didn't answer yours, Jud.
Jud Bailey: No, that was very thorough. I appreciate that. I do have one follow-up, though just because we've been getting questions on the cementing business in general. There has been some market commentary on -- weakness in some areas, one of them being the MidCon, you of course are expanding into that region, I was hoping that you could kind of give us, maybe your -- some insights into -- your expansion into that area and kind of how you see the market dynamics and visibility on deploying all the units up there that you're targeting?
Ann Fox: Sure. So again the MidCon expansion for us is relative to the competitive landscape there. We expect to take share there and we're very confident with our track record and as I said, some of the slurries that we're coming out with that offer operators an ability to get the compressive strength they are looking for at a cheaper cost. And so generally when we think about North American shale, we think about cheaper better, faster, cheaper, better, faster, and we're really confident we can go into that market with those technical slurries that we've developed in that 95% on time rate and be quite successful there. So we're looking forward to penetrating that market. As I said though, we don't expect to be up and operational there until the end of the year. So I recognize that folks have said, you know the MidCon is little bit weaker, there's still some very, very significant operators up there, and we're looking forward to working for them.
Jud Bailey: Okay, great, well thank you. I'll turn it back.
Operator: Thank you. Our next question comes from the line of George O'Leary with Tudor, Pickering, Holt & Company. Please proceed with your question.
George O'Leary: Good morning, Ann, good morning, guys.
Ann Fox: Hi, George.
Clinton Roeder: Good morning.
George O'Leary: On the coiled topic, you gave a good color in response to Jud's question, I was just curious about the delta in day rates between large diameter coil and small diameter coil and how much that spread during the quarter. I know you said down 5% on overall day rates, but clearly more pressure on the small diameter side, what's that spread and what was it three or six months ago.
Ann Fox: So I think that spread does continue to widen. I mean, I think small diameter just continues to lose relevance in this market and so that's something we've continued to talk about, it hasn't been a feature of our calls and we have very few small diameter units, we have four currently out of a fleet of 16. And so, and that's obviously something we're not planning to capitalize going forward. So I would say that that spread continues to increase as those units are needed less and less in unconventional shale.
George O'Leary: Great. That's helpful. And you guys have historically expressed in the M&A markets and have been active on the Magnum front. Now exploring some strategic alternatives for other businesses that are maybe a little bit less desirable today, just broadly not specific to your businesses, what does that M&A market look like today and kind of where the bid-ask spreads, can we actually get some transactions done or is that still a long part at this point?
Ann Fox: I think, we've always been of the view that I think early on if you look at '17 coming into the first half of 2018 and I'm just being general here, not specific. The bid-ask spread was very strong, and particularly when you looked at the private market. I think that spread is narrowed but where -- what Nine has always said is that a lot of those companies aren't worth buying for any value and not additive or accretive for us at all. So even when you start to look at asset value, there is some assets that will just be obsoleted over time in this market as we see shift changes. I mean, you're obviously seeing diesel frac, go to electric frac et cetera. So I think for us, although the prices likely come down and those folks are now suffering from a lack of exit strategies. And so, certainly public currency is a form of liquidity for them. There's still lot that we're not interested in, frankly.
George O'Leary: Great, that's helpful. And I'll sneak in one more if I could, on the, on the dissolvable side. Just trying to get a better understanding of and I apologize if I missed this, but it well -- think I did. The increase in volumes or the market share of those versus when you guys initially executed that transaction. So specific to dissolvables just even if on a percentage basis quarter-on-quarter, what was kind of the increase in volumes or where do you see overall market share of dissolvables in the overall frac club market?
Ann Fox: Sure. So I'll first start with volumes and we don't split the dissolvables and the composite. We did report that we did 16% more stages completed this quarter. As it relates to dissolvables, I would say that Iam multiples more confident today than I was in October, when we acquired the company about the fact that dissolvables will be a very significant portion of North American stages. And we had originally told the market that we thought in three to five years, it would be 35% to 50% of the stage count. I think two things happen in that time frame become shorter, and that percentage goes up. So, what we are working on where you'll see, I think big volume changes for us is when we field and commercialize our low temperature offering, which we've said is less than a year away, and we're very excited about that. That is the high growth market, George. So if you think about the cold formations in the US, one of those is the Permian. And that is a low temperature environment, we see that it's the strongest growth area and we also think we have a strong competitive advantage to go into and take long-term market share there because of the stuff that we're working on. So I think you will see big volume increases from us coming forward on that. And then in high ten [ph] market, we continue to dominate there and we're very pleased with our market share. When you think about the competitive landscape, we really haven't seen new entrants relative to when we transacted, and we talk about the concentration of the market share with the large cap and I include Baker, Schlum and Hall in that and we've also talked about a private company that's quite a good tool company in the market. But other than that, you really haven't seen entrance into that field that we consider competitors.
George O'Leary: Great color. Thanks, Ann.
Operator: Thank you. [Operator Instructions]. Our next question comes from the line of Praveen Narra with Raymond James. Please proceed with your question.
Praveen Narra: Hi, good morning. When we think about kind of the latter parts of your prepared remarks, you talked about the legitimate capacity out there versus illegitimate competition. Could you help us frame how much of the market in certain pieces are what you would call competitive with your offering versus more standardized offerings that are smaller footprint offerings?
Ann Fox: So what I was talking about specifically was wireline and then, talking about the new entrants coming into the coil market. So in the wireline market, we've seen figures up to the point of 1900 in the US land market. When you think about the average stage count that really great Eline and operator are putting back on a daily basis, that's plenty of equipment to do that job. And so, I was simply trying to make the distinction that there is very, very few players we compete with. And I won't name them here on the call, but I can count them my hands that we would consider operating in the same realm, as us from a efficiency perspective and an execution perspective. And, I don't see that lightly, because their operators are scorecarding us and they are on locations literally with stop watches so that non-productive time and efficiency rates are not something that OFS is coming up with themselves. These are actually numbers generated by the customers. And so, there is very few companies that can consistently perform at those expectation levels. And so we're going to give the investor community some kind of color as to why, it's so important not simply to rely on equipment counts in the market. But to specifically answer your question, there are very limited folks for instance in the Permian Basin that we see -- that we think are competitive with us on the wireline side.
Praveen Narra: Right and presumably that just increase important to E&P is going through a consolidation phase. I guess, when we think about the pricing stability, you guys are seeing today. Can you frame how your competitors are behaving in this, have we got to the point where they're rejecting or is it just operators not pushing anymore?
Ann Fox: I think, it's more rejecting, if I had to qualify it. And again, that's really, that kind of an anecdotal answer, but I would say, it's OFS rejecting because these again, these are pretty nice prices per barrel. You have some operators that are accessing Brent pricing because the majority of their crude is priced right off the Gulf Coast there and so we're conscious of that. We're conscious of where the free cash flows are and so I think as an industry, those folks that know that they're that good are rejecting that. And the way that we're going to get incremental efficiencies here now is really through technology, which is of course one reason that we're so excited about dissolvables and the incremental time that that saves, on a per well basis, not to mention the reduction in the carbon footprint. So all of that is of course critically important, but to answer your question specifically, it's more about rejecting.
Praveen Narra: Perfect, thank you very much, guys.
Ann Fox: Thank you.
Operator: Thank you. Our next question comes from the line of John Daniel with Simmons & Company. Please proceed with your question.
John Daniel: Hey Ann, just a follow-up to statement you just made about reduced carbon footprint and earlier, you noted the electrification of the frac fleet, I'm just curious, what -- are there any electrification opportunities with any of your segments today?
Ann Fox: John, it's a great question and good morning. Yes, I mean, I think we're probably one of the few folks out there operating right now with clean more [ph] lines. So we're pretty excited about this, not just because it's cost effective for our operators. I mean, it certainly makes no sense to throw gas into the air. When you can supplant it for the diesel you put in your engine, but it's also just the right thing to do for the environment. So really excited to see the industry embrace us and start to get cleaner and be more cost effective and have less non-productive time with these electric fleet. So very, very exciting stuff coming forward. I think.
John Daniel: Okay. But aside from the -- your wireline, you just mentioned, I mean are there -- I assume there's -- you are exploring opportunities to do that with your other business lines. Is that a fair assessment?
Ann Fox: We are evaluating things that we think are differentiated, John.
John Daniel: Okay. And then going back to dissolvable plugs, up -- more optimistic today than six months ago. I'm curious, just so we don't get out over our skis from a modeling perspective, but as dissolvables grows, it should in theory, take market share from composite plugs and some impact to coil, how would you try to guide us in terms of what the revenue impact would be over the next year or two, if your dissolvable forecast proves correct.
Ann Fox: Yes. So I will say, I am extremely optimistic on the 2020 numbers. I'm also optimistic on our composite numbers because even though dissolvables will take share from composites, we are going to come forward with a composite that we think will take incremental share from the composite community. So I'm positive on both of those candidly and if I were you, I would be thinking about that beginning in 2020.
John Daniel: Okay, thank you very much.
Ann Fox: Thank you.
Operator: Thank you, we have no additional questions at this time, I'd like to pass the floor back over to Ann Fox for any additional concluding comments.
Ann Fox: So thank you for your participation in the call today. I want to thank our employees, our E&P partners, and investors. Thank you.
Operator: Ladies and gentlemen, this does conclude today's teleconference. We thank you for your participation and you may disconnect your lines at this time.